Operator: Greetings and welcome to PublicSquare's Third Quarter 2024 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, William Kent, VP of Investor Relations. Thank you. You may begin.
William Kent: Good afternoon, everyone, and welcome to PublicSquare's third quarter 2024 earnings conference call. Joining me today are Michael Seifert, Chairman and Chief Executive Officer, and Brad Searle, Chief Financial Officer of PublicSquare. Before we get started, we want to emphasize that the information discussed on this call, including our outlook, is based on information as of today and contains forward-looking statements that involve risks, uncertainties and assumptions. We undertake no duty or obligation to update such statements as a result of new information or future events. Please refer to today's earnings press release and our SEC filings, including our most recent 10-Q and 2023 10-K, for factors that may cause actual results to differ materially from our forward-looking statements. We'd also like to point out that we present non-GAAP measures in addition to, and not as a substitute for financial measures calculated in accordance with GAAP. I'll now hand the call over to Michael. Michael, please go ahead.
Michael Seifert: Thank you, Will, and welcome, everybody, to our third quarter 2024 earnings call. The third quarter was a pivotal period for PublicSquare as we shifted resources to prioritize our Fintech opportunities. Fintech, meaning Financial Technology, with the aim of delivering the distinct business services our merchants have been demanding. To be more specific, over the past two years, we have learned from our tens of thousands of merchants on our PublicSquare platform that they are desperately seeking payment infrastructure that will provide a cancel-proof promise and reliable technology. If you pair these findings with our desire to own and operate the entirety of the transaction experience, it makes sense that payments have become our primary focus. As we enter Q4 2024, our focus on Fintech is clearer than ever. This refined focus includes shifting our customer acquisition strategy to more of a B2B model and transitioning our Marketplace to more of an affiliate fee-based approach. Simply put, the Marketplace moving forward exists to drive customer and merchant acquisition and activation, while our payment stack and buy now, pay later technology drive monetization of the ecosystem. With a Fintech team with decades of industry experience in under seven months, we have truly built a world-class payments platform that has already proven its value in the market and we're excited to tell you more about that here today. Starting from $0 million [ph] and with less than 120 days of sales, we have now signed contracts that have the potential to result in over $1 billion in annualized GMV or gross merchandise value. And as we entered Q4 2024, we actually activated our first enterprise merchant who is expected to process more than $100 million annually on our PublicSquare Payments platform. This incredible milestone ahead of schedule speaks directly to the demand we are meeting and the strength of our product for businesses of all sizes that resonate with our cancel-proof promise and reliable technology. While the bulk of our contracted volume thus far comes largely from the shooting sports industry, which is a largely unaddressed and ignored market, we have a strong representation of merchants in our pipeline from a myriad of different industries, largely due to our PublicSquare merchant database of over 80,000 businesses that is actually industry agnostic. And when we talk about GMV and the $1 billion threshold that we have crossed, it's crucial for investors to understand how this potential GMV or annual processing volume can translate to top-line revenue going forward. For the over $1 billion currently under contract, we expect these merchants in their entirety to be integrated between Q4 2024 and Q1 of 2025, with the full impact of revenue for these merchants being realized at the beginning of Q2 2025. We expect the blended take rate for this annual processing volume to be between 1.9% and 2.3%. So, practically, for every $1 billion of annual volume we process, we expect to receive approximately $19 million to $23 million in annualized top line revenue. One last item on this is that our take rates as we ramp our offering are not consistent across all of our merchant customers. That's the reason for the range. As our payments vertically scale, we expect to see upward movement in our take rate as we integrate more small and medium-sized businesses from our existing ecosystem. Alongside these advancements, we've actually optimized our cost structure and sharpened and shapened our strategic direction for future growth. In late October, we enacted a strategic plan where we reorganized vital business functions to improve efficiency, reducing our workforce by over 35% in the process. This strategic reorganization of the business is expected to save our company approximately $11 million on an annualized basis and is, therefore, expected to lower our cash burn meaningfully, well positioning us to reach positive cash flows in 2025 while maintaining strong revenue growth. We expect cost savings associated with these changes to be realized beginning this month and for the full year 2025. Looking towards 2025, we believe with our refined road map and reduced cash burn, all three segments, meaning; Marketplace, Fintech and Brands, including the PublicSquare Marketplace, will achieve positive cash flows on a standalone basis during 2025 while maintaining strong growth. And this solid foundation in our segment performance bolsters our confidence that we can actually become cash flow positive as an overall organization by the latter half of 2025. We're thrilled to enter this next chapter of our growth, and we are encouraged by the enthusiasm throughout our ecosystem from both our customers, meaning shoppers and our merchants. So, to break this down further for a few key highlights from across our segments that embolden our view that the business is well positioned for future growth, I will start with payments. At PublicSquare Payments, we have developed a fully cancel-proof payment stack with advanced tokenization and secure wallet technology to protect customer data. This has been a major selling point as we are serving businesses that are very focused on the security of their customer data. We've secured contracts that could potentially result in over $1 billion in annualized GMV, which is ahead of our goal of achieving this $1 billion threshold by the Christmas shopping season. We activated our first $100 million-plus merchant on the PublicSquare Payments platform last month. And additionally, as we look at the pipeline, approximately 80% of our company's sales pipeline stems from existing buy now, pay later merchants or PublicSquare Marketplace merchants who are values-aligned and have actively sought out our payment stack. On the credit side of the business, the buy now, pay later functionality, we have signed contracts that could potentially result in $5.8 billion in annualized GMV year-to-date, with billions more currently under negotiation. Year-to-date, we have facilitated $53 million in consumer financing transactions with an average contract value of $1,024. Buy now, pay later for us generated approximately $3.2 million in net revenue in Q3 2024 and attracted over 200,000 applications. In our Marketplace segment, we made the choice around the mid-year to switch to a CPM model for advertising and moved more away from a subscription model, which helps significantly automate the advertising experience for both merchants and our team, reducing expenses in the process. Also on the Marketplace, we saw 13% growth in order volume from Q2 2024 to Q3 2024. And now that we've invested in the foundation of the Marketplace, we were subsequently able to reduce costs and focus on breaking even with the Marketplace in the near term. Simply put, we have built the ecosystem that can now generate customers and merchants for us, and it's time to monetize that Marketplace engine. On the Brands division; EveryLife, our premium diaper and wipes brand that celebrates every miracle of life, our revenue grew quarter-over-quarter 14% and year-over-year grew 126%. We also experienced significant subscriber growth. Our active subscriber base grew 18% from Q2 2024 to Q3 2024. Our repeat customer rate at the end of Q3 was an astonishing 76%. Total orders with EveryLife increased 14% from Q2 to Q3; and our non-profit partnerships, meaning churches, pregnancy centers, other affiliated pro-life and pro-family non-profit organizations, our non-profit partnerships grew 49% quarter-over-quarter with EveryLife ending Q3 with 866 verified non-profit partners. October, as a subsequent event, was the first month that we actually eclipsed over $1 million in EveryLife sales. And finally, the number of diapers and wipes donated through our Buy For a Cause program with the help of our devoted customers, inception-to-date totals over 2.5 million wipes and over 3 million diapers to mothers and fathers in need looking to care for the next generation. So we went through payments, credit, marketplace and EveryLife, and it's safe to say it's a truly exciting season for PublicSquare. We firmly believe that our Fintech positioning will strengthen us long-term by allowing us to pursue multiple monetization opportunities, coupled with meaningful leverage of our existing merchant base. With that said, I will now turn the call over to Brad to discuss financial highlights from the quarter. Brad, over to you.
Brad Searle: Thank you, Michael, and good afternoon, everybody. I'm honored to be with you here today to discuss our third quarter 2024 results. I'd like to present a few items to note from the quarter starting with revenue. We increased net revenue by 222% to $6.5 million compared to the third quarter in 2023. Breaking that down a bit, $3.2 million of this came from Fintech segment, keeping in mind that this revenue is only from the buy now, pay later transactions as payments revenue will not hit our statement of operations or our P&L until Q4. EveryLife generated $2.6 million of net revenue, an increase of 126% from Q3 2023, which was the quarter in which we launched EveryLife. Our overall gross margin expanded year-over-year from 27% to 64% due in large part to the high-margin revenue on credit products in the Fintech segment. Speaking of segments, you will notice that we made a change in our segment footnote to split out corporate operating expenses that are not directly attributable to a specific segment. So these expenses include, but are not limited to, outside counsel and board fees, public company expenses such as quarterly and annual report filing fees and insurance for our directors and officers. Excluding these corporate operating expenses, our Q3 adjusted EBITDA loss for the three segments was $4.4 million. Please note that P&L includes stock-based compensation expense, a non-cash item of $5.8 million in Q3. As we are very much still a growth company, we expect stock comp to remain a significant expense on our P&L for the foreseeable future. Moving on to cash, we ended the third quarter 2024 with cash and cash equivalents of $5.7 million, of which $1 million was restricted cash. During the quarter, we completed a private placement for a $10 million convertible note with a Board member and his affiliates. And in early Q4, we closed a PIPE of $5.35 million, led by a Board member as well. During the quarter, we had $1.2 million of cash outflow related to the PublicSquare Business Summit, which was booked to prepaid expenses and other assets and thus did not impact the P&L. Approximately $900,000 of the cash outflow was returned to us in October after the cancellation of the summit due to Hurricane Milton. One significant item I want to reiterate from Michael's previous remarks is that management and the Board have enacted a plan to significantly reduce spending on payroll, on contractors and on corporate operating expenses. Overall, the plan is expected to save an estimated $11 million annually as we streamline efforts to focus on B2B opportunities in the Fintech segment. Lastly, in terms of share count, as of September 30, 2024, we had 29,451,684 Class A common shares outstanding and 3,213,678 Class C common shares outstanding. I will now hand the call back to Michael for some closing remarks and Q&A.
Michael Seifert: Thank you, Brad. Well, to wrap up, as we look to the future, we are dedicated to expanding our Fintech offerings with a strategic emphasis on sustainable growth, customer engagement and values alignment. We have found an unaddressed market that we have a unique opportunity to go and reach. And we intend to do so with quality and excellence at the forefront. And thankfully, in the first few months of our payments launch, we are already seeing that reflected in the responses we are receiving from merchants. 2025 will present us with a unique opportunity to bolster our existing business and build upon the solid foundation we have set this past year. We aim to increasingly market our buy now, pay later and payment processing solutions, bolstering our cancel-proof ecosystem to meet the demands of values-aligned merchants and consumers. We will also be working to achieve a seamless integration of our Fintech suite of solutions across our merchant network to offer this unified cancel-proof and largely automated experience. Importantly, we will also be working on monetizing our customer life cycle by optimizing revenue from customer interactions throughout the customer experience from the initial point of purchase with the merchant on the merchant site all the way to repeat transactions within the PublicSquare Marketplace. Finally, we will work to expand our B2B-centric model, leveraging our merchant partnerships to generate more customers organically, increasing lifetime value while significantly reducing customer acquisition costs. Simply put, we have built the engine; now, as we head into 2025, we focus on monetizing it. We firmly believe that these key steps will allow us to not only grow our top line in 2025, but also allow us to achieve cash flow positivity across all segments and the combined business in 2025. Our journey thus far has been a remarkable one as we've had the opportunity to serve millions of consumers and tens of thousands of business owners who value life, family, freedom and patriotism across our great country in just a few short years. And we look forward to continuing our success in attaining new milestones along the way. With a significant electoral win last week, we have fresh wind in our sails, and we're anticipating major moves for our business as we head forward into 2025 for the economy as a whole and for our business specifically. We are focused on changing the country through the power of commerce and we're glad to have you on the journey with us. Without further ado, let's now head to questions-and-answers.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Darren Aftahi with ROTH Capital. Your line is open.
Darren Aftahi: Hi guys. Thanks for taking my questions. Good afternoon. A few, if I may. First one, I guess, Michael, you kind of teased this at the end of your comments. Just obviously, the election recently consummated. Just any impact on your business kind of short term, longer term as we kind of move into the new administration?
Michael Seifert: Thank you, Darren. Great to hear from you. We are obviously thrilled, as an economic actor that seeks the prosperity of the American economy and the growth and vitality of American communities, we feel a great deal of hope coming out of the election last week. For our business specifically, we feel like we have wind in the sails. We feel like we have fresh energy as we head into 2025. And I'll give a few practical examples. One is, for the last few years, we've been talking as a company about the beauty of a Marketplace that's focused on meritocracy, excellence, innovation, a love of country and community. Now that we have seen these same values reflected in the election results, we feel like we get to be the economic manifestation of the electoral victory that took place last week and we've already seen that drive growth for our business even in the past seven days. So number one is, we have obviously celebrated this message that I think was reflected very clearly in the election results last week. And so we don't feel like a sidebar economic actor. We feel like we really represent the mainstream American viewpoint at this point. The second thing I'd mention is that, obviously, for our business, given how much we operate in spaces like the firearms and ammunition industry, it's refreshing to know that we have an administration coming into office in 2025 that seems to value that industry with greater affection. And so, as we look to the regulatory environment, we are excited about the decrease of the administrative state and how that might positively impact our business. And ultimately, we believe that as we head into 2025, with our emphasis on American small businesses in our community, paired with some of the messages out of the incoming Trump administration that they want to value those same American small businesses as well, we think we can be a great catalyst and a real pioneer of the next chapter of the American economy's growth for the small business community and Main Street America specifically. So we're happy over here, Darren, and we're looking forward to the hopeful economic growth that we hope to experience over the course of the coming years for our business, but also the broader macro economy in general.
Darren Aftahi: Great. A couple more, if I may. So on the Fintech side, you mentioned a few figures on pipeline. One was kind of the $1 billion annualized figure. And then I think you mentioned on payments, $5.8 billion. I'm just kind of curious, collectively, what does that represent relative to existing merchants versus prospective?
Michael Seifert: Great question, Darren. So, on the payment side of the business, PublicSquare Payments, the $1 billion threshold of contracted expected GMV is actually entirely representative from businesses that are already in our community, meaning these were not cold leads that existed outside of the PublicSquare or Credova existing ecosystem. So, this speaks to the health of our pipeline that much of our early traction is actually coming from folks that already trust us, whether that's a trust that they've developed through the onboarding onto the PublicSquare Marketplace or the utilization of the consumer financing products through the Credova buy now, pay later business. So out of the $1 billion, all of those merchants are actually represented from the existing ecosystem we have already ascertained. I would also speak to the near-term pipeline that, that is very much the same. In fact, I mentioned a figure here in the earlier earnings call comments about how over 80% of our entire pipeline right now comes from existing merchants within the PublicSquare or Credova ecosystem. We have not had to focus on going out and paying for external leads. So, when we speak to decreased customer acquisition costs on the merchant side, this is obviously a big win for us, and we feel that it's truly a differentiator compared to our competitors in the Fintech ecosystem. We started with the audience, and now as we monetize it, we're not having to go out and find green pastures that we have not yet spoken to. We're actually targeting a network of merchants that already trust us for existing services.
Darren Aftahi: So, on that point, in order to hit your Fintech goals, let's just say, in the next 15 months to the end of 2025, what sort of investment do you need to make, if any, into that business?
Michael Seifert: I will say very little. We have actually spent much of the investment capital into developing both the product itself as well as the sales engine to go and attract the existing merchants within our ecosystem in Q3. So, our customer acquisition cost on the 80,000 businesses now that we have the sales team spun up is zero. We're not having to spend money to attract the merchants that are already in our ecosystem, and much of the early development work on the actual core payments platform has been completed. So, while we anticipate that we will continue to obviously invest in refinements to the platform in the years to come, we never want to stop the continued improvement of our core platform. Much of the heavy lifting has actually been completed, and that's why we feel comfortable processing billions on the platform that we have now invested in to build. The other piece that I would mention is that you gave the 15-month time frame. I would tell you that we are actually very comfortable, confident and content for the next 15 months, solely focusing our sales efforts toward merchants that are already in our ecosystem. So, even over the next 15 months to go and achieve our payment goals, we do not anticipate that we will have to go outside of our existing audience to attract the desired GMV and respective revenue associated with those merchants.
Darren Aftahi: Got it. That's helpful. Two more, if I may, maybe for Brad. On the cost savings side, the annualized $11 million, I know you guys had spent on some professional fees and consulting along the way. So, I guess I'm just trying to contextualize the run rate of $11 million in cost savings. I assume sort of starts fully Jan 1 of next year. But can you help me understand it’s a $11 million run rate off of kind of like what level of cost?
Brad Searle: Yes. Good question, Darren. This is Brad. We're actually starting to see those savings. We have been for about a month now. So we had this reduction in force last month and there's a little bit of severance to pay out as was mentioned in the queue, but that's the majority of the cost savings. So that's about just over half of those savings are related to personnel. As we focus on the B2B segment or the B2B focused, the fintech segment of course. And like Michael said, the customer acquisition cost is virtually zero because we already have these businesses in one of the segments. It's just transitioning them to offer them services that another segment can provide. So that's a big chunk. Another one, like you mentioned, is contractors, consultants. We're starting to bring a lot in-house as we have more space on our plate to take on additional things that we use to outsource. We're learning we've been a public company for over a year now, so we're seeing some savings there. And then just general tightening the belt, if you will, and looking at every dollar that's being spent and saying, can we get something that's more affordable, that has a higher ROI. So overall that $11 million is a significant part of our burn. If you look at our adjusted EBITDA, as I mentioned, of course, taking out corporate OpEx, it's $4.4 million. So you're looking at $1.5 million max a month in Q3 of cash burn. Of course, this is back in the napkin math. If you take $11 million annualized out, that's a $1 million of spend per month. That's no longer there. So it's taking place right now. But you're correct, Darren, in that the full cost will be annualized. We'll achieve that in 2025.
Darren Aftahi: And then I guess - and this might be in the Q. I know you guys just filed it, but I can't multitask right now. How should we think about gross margins high level on your fintech product?
Brad Searle: Yes. Happy to take that one and then Michael, you can fill in after if you'd like. For credit, it's the reason that we had the growth in margin from 27% to 64% year-over-year was mainly due to the fintech segment. It was purely credit and those are that revenue is pretty much purely margin. So when you look at there's three different streams of revenue within credit, all of them are 99% plus there's some servicing and underwriting costs that are cost of revenue. On payments, on the other hand, it's a little different. So payments, the take rate, as Michael mentioned, 1.9% to 2.3% is anywhere between 10% and 20% and it depends on the size of the merchant. So higher merchants generally yield a lower margin and vice versa as well. So that's kind of what we're looking on the fintech segment. On the brand segment it remained pretty stagnant from Q2. We expect to see that increase slightly just as we scale over time and get those kind of bulk discounts, as you will. And then the Marketplace segment should remain fairly steady as well. Those are kind of all fixed costs and a lot of the 35% headcount reduction was cost of sales related to the marketplace. But we should see that improving moving forward. Michael, anything to add there?
Michael Seifert: Yes, I would just add that on the payments margin. So obviously yes, the take rate 1.9% to 2.3% for this first over a $1 billion tranche with a margin of about 10% to 20%. We scale into a greater margin over time as we bring more of the services associated with payments in-house. We're looking forward to that as well as the focus on more SMB style merchants that yield a higher margin for the business. So we are anticipating that payments over time becomes a business vertical with virtually no margin cap. That's our goal is that as we build over the next two to three to five years, we would see the hallmark of our success as reflected in the greater margin that we're actually taking home on these payments transactions. And then I would also mention to put a fine point on Brad's comments, the margin on the brand segment should increase heading into Q4 with the launch of additional SKUs and bundled products like soaps, lotions, training pants, et cetera for the EveryLife brand.
Darren Aftahi: That's helpful guys. I'm going to pass it on. Thanks.
Michael Seifert: Thank you.
Operator: Our next question comes from the line of Barry Haimes with Sage Asset Management. Your line is opened.
Barry Haimes: Thanks so much and lots of exciting changes. I just want to be sure, I understand them. So, I totally get that you're trying to get the merchants onto the payment system. When a merchant goes on your payment system, is it for what they sell on your site or generally everything that they sell, wherever else they may sell? That's one question. And so for someone who doesn't take your payments, is their experience with you the same as it has been and is the consumer experience on marketplace the same as it has been? That's my first question and I have one quick follow up.
Michael Seifert: Great. Thank you, Barry. Great to hear from you. I'll start with the question around, is payments when we onboard a merchant purely for the representation on our marketplace or for their own site? This is actually their own website. So when we have a merchant join us, for example, last month we sent our first major enterprise merchant live and we expect that they will process over a $100 million annually with us. That is processing that's actually taking place on their checkout on their website. So that's not referring to their experience on the PublicSquare Marketplace. This is very advantageous for us obviously because we have the opportunity to process the payments on the merchant's own websites where they conduct the vast majority of their own transactions. And it also allows for unique marketing opportunities where we can actually help businesses that have a presence on our own website but have their own website also. We can actually monetize transactions and bring awareness to those business vendors both on our site as well as off our site as a more holistic partner. So we no longer see a merchant just as they're represented on PublicSquare or utilizing the Credova buy now, pay later technologies. We actually also get to have a major part in the merchant's journey on their own website as they conduct the growth of their own business. That's number one. So when we say over a billion in expected contracted GMV volume, what we mean is that that's a $1 billion of sales annualized that are taking place on these businesses own websites. To address your second question, the consumer experience on the Marketplace, you won't notice any changes. We still have our one-cart checkouts and consumers are still able to transact through that checkout system. Merchants are also able to link their products to our checkout system where we take a blended take rate of about 8% on those transactions that consumers take part in with our merchants that are listed with our PublicSquare technology on the Marketplace. And the final thing that I would mention is that while you won't notice any changes that we have planned for that consumer experience, the merchant experience we plan to evolve as we head into 2025. One challenge we've had on the PublicSquare Marketplace to-date is that we make our money on the marketplace side of things. We generate revenue from either advertising or from the take rate at the point-of-sale checkout@publicsquare.com But what happens is that there are a large quantity of businesses on our platform that have a listing but do not have their products linked to our checkout. So historically we've had a hard time monetizing those folks because you can have a free listing. That doesn't necessarily mean you advertise and it doesn't necessarily mean that you're linked to our one-cart checkout. So in my remarks earlier in the earnings call when I talked about us trying to create a real priority here in the next two quarters for developing an affiliate fee-based approach that's really targeted toward the merchants that have a presence on our site but don't have products linked to our checkout. Our goal as we move forward with the marketplace is that we would be able to create an affiliate system where merchants list their company on our publicsquare.com marketplace. Consumers can see that listing and even if the consumers go off to the merchant's own website, we are still monetizing that transaction by essentially acting as an affiliate of the merchant. So in recap, obviously the payments technology is actually primarily utilized for the merchant's own website. The consumer experience at checkout you will not notice any changes and the merchant experience won't notice any changes on the PublicSquare Marketplace. But we are developing new ways that we can actually attract affiliate fee revenue with the merchants that may not be selling on our own site, but have a listing on our site that we are generating traffic for. I hope that's helpful clarity.
Barry Haimes: Very much. One quick follow up and the main - what's the main selling point, because presumably a merchant [ph] is using someone else for payments. So to switch to you guys, what's your main selling point? What's resonating and then finally just wanted to double check the brand strategy. Is that unchanged through all of us? Thanks.
Michael Seifert: Thank you, Barry. Yes. So on the - I'll start with the brand strategy and then might need you to remind me of the first question. Brand strategy is unchanged. We are continuing to grow EveryLife. We're grateful for the performance over the past few months as we look at not just Q3 but also the month of October as we actually eclipsed our first month of over a $1 million in sales. And we're looking forward to the way in which that the data from our marketplace customers continues to inform how we excel the brand division moving forward. As a reminder, we launched EveryLife because we were made clear from our consumers on the PublicSquare Marketplace that they were seeking a life-affirming diaper and wipes brand. We have many moms in our audience that were specifically requesting this. We created the brand to be able to meet their needs which allowed for us to deploy this brand to market without overwhelming customer acquisition costs. And the first question you asked related to the main selling points of payments that are actually giving merchants a lot of confidence as they leave their existing provider and join us in this endeavor. I break it down into two categories. Number one, I would talk about our cancel-proof promise. So, the reason that the firearms industry, for example, is so unaddressed and ignored is because many financial institutions are timid or afraid or completely opposed to working with the firearms and shooting sports industry. So we have great companies on our platform, great companies that are currently utilizing Credova that have been canceled by over three payment processors. It's a story we hear way too often. And so when we're able to come to a merchant and say we have a cancel-proof promise, once you are in the family, you're not leaving, we're not canceling you, and we actually have multiple points of redundancy to ensure that that would never happen from any of our partners. We can attract a merchant through the promise of feeling like they have a real sense of peace of mind. They can sleep easier at night knowing that their experience at the checkout is protected by a merchant that shares the same love for their business that they do. The second thing, that I would address is actually that our technology, especially given the way that we handle consumer data and allow for the merchant to actually independently store it through a tokenized encrypted vault, is a main and major differentiator. You know, many small businesses are generally faced with one of two options as it relates to customer data. They can either allow the processor to store it or they can store it independently on their own. The problem with storing it on their own is they're having to handle all the compliance burden of doing so. So it sometimes gets easier to just trust the processor to store it. This becomes a major problem though when you want to leave your processor or you no longer feel like the processor has your best interests in mind. And so what we've allowed for the merchant to actually do is utilize a vault that stores the customer information and merchant data independently. That's actually not held by us. And it gives the merchant more autonomy to be able to trust that their consumer data is safe and secure and fully encrypted without having to handle the compliance burden. This is a major win and has attracted many merchants to come and join our payments platform. I'd kind of add on one more piece here, and that's that many businesses because they operate in spaces that are deemed more reputationally risky. So again, I'll use firearms as an example. Given that the shooting sports industry is a large chunk of our early volume here, what financial institutions will do that are willing to work with the merchants is they will charge them serious premiums in terms of the take rate because of the reputational risk that they associate with firearms. For us, we don't see any reputational risk in firearms. We are red-blooded Americans that value the Second Amendment and because of that we do not charge a premium for merchants that are wanting to exercise their Second Amendment rights and help their customers do the same. That's been a major selling point because it's allowed for us to not only provide the cancel-proof promise and reliable technology with multiple points of redundancy, it has also allowed for us to say let's save you money in the process because we're not going to charge you a premium just because you happen to sell firearms. This sales pitch has worked incredibly well as we've attracted these merchants, especially when you build upon the fact that we already had existing trust developed with them because they were either a buy now, pay later merchant with us already or a PublicSquare merchant with us already.
Barry Haimes: Great. Thanks so much for all the insight. Appreciate it.
Michael Seifert: Of course. Thank you, Barry.
Operator: And we don't have any questions on the conference side for now. I'd like to hand things back over to William Kent. Thank you.
William Kent: Thank you, Ian. We'll now address a couple of questions that we received through the Say Technologies platform before closing up the call. Our first question is prior to your purchase of Credova, we were told that PublicSquare would reach cash flow positivity within or near the next quarter. After your purchase of Credova, this milestone has expectedly moved. Where do you place it now and is growth limited prior to hitting this milestone?
Michael Seifert: Great question. I love the Say Technologies platform, by the way. It's a great opportunity to interact with all of you. So as we look to forward quarters, we would encourage everybody to use that Say Technologies platform. We value it quite a bit. It's great to hear from our shareholders. So this question is exactly correct. Before the acquisition of Credova, we had anticipated cash flow positivity actually this year. And that was due to the asset-light nature of the Marketplace and the ability that we had the ability to generate profits from the Marketplace. And when we say profits, obviously we mean cash flow positivity without increasing level of spend. Post the acquisition of Credova, and truly the refinement of our vision to be able to capitalize on the payments opportunity and own the entire checkout stack, either through processing or through buy now, pay later technology; we discovered that we were onto something special here. And so we decided over the last six months to invest in the development of what would become a major revenue and profit driver for us in the months and years to come. So over the last six months, we made a strategic decision to push out our cash flow positivity milestone to 2025 in order that we could actually experience exponentially more growth than we would have been able to with just the Marketplace and brands alone. So, in recap, when we initially anticipated cash flow positivity in 2024, that was before the fintech focus post the fintech focus, we have made the strategic decision as management and a board of directors to say, let's have that milestone take place in 2025, which, to answer the latter part of your question, allows for us to actually ride the balance of seeking profits while maintaining in a state of hyper growth. So as we look to 2025, we do not believe that our approach handicaps growth at all. We actually believe that our approach will allow for us to find a sweet spot of generating profits while refusing to handicap growth. We're excited about the next few quarters, and to be very specific, we would anticipate that each of the segments on a standalone basis would achieve cash flow positivity in 2025, with cash flow positivity across the entire operating company in the latter half of 2025.
William Kent: Thank you, Michael. Next question we have is about merchant feedback as it relates to our new payment system. I know you just answered some of that, but if there's anything more you want to add on that level?
Michael Seifert: We're really grateful for the feedback we received thus far. I will tell you that the folks that we work with as merchants are the best of America. These are people that love their business. They want to operate with excellence and integrity, and I hope that they feel the same about how we conduct our business practices as we've grown in relationship with them. The feedback has largely been centered around the intentionality of our engineering team, the excellence of our sales force, the values alignment of our platform and ultimately the cancel-proof promise we can provide. Our merchants have communicated that they feel a great deal of comfort knowing they're operating with an entity that is not ignoring them, that is not abusing them, and does not see them as a high reputational risk actor, but instead sees them as businesses that are fundamental to the American way of life. Because that is how we feel. It has the benefit of being true. And so when we're able to actually put action behind our words and showcase to them with our reliable technology, multiple redundancies, and focus on security and privacy, they have communicated a level of confidence that they feel going forward that they have not had previously with their existing service providers in the financial technology ecosystem. Again, we're grateful for this feedback and we're excited for much more of it to come in as we head forward into 2025.
William Kent: Thank you, Michael. And our last question from Say Tech that we'll take is around, obviously the election and how we feel about that impact on our business going forward and what that means to values alignment, et cetera.
Michael Seifert: Yes, I love this question. Obviously this mirrors a little bit of what Darren asked earlier, so I won't elaborate too much. I'll just say that I feel a great deal of hope. I think that as we head into 2025, the United States population, both through the Electoral College and the popular votes, have made it clear that the incoming administration has a mandate, a mandate to embrace freedom, to embrace prosperity for the American business community, and to prioritize an America-first agenda. Given that we as a business prioritize those same things, we feel like we're going to have a movement at our back and wind in our sails as we look forward to future growth. So I feel a great deal of confidence coming out of the election. I'm going to feel an even greater level of confidence after January 20, and so far in the first week, as we have seen growth to our own company just through the excitement of the American people looking to vote with their dollars and engage in companies that are prioritizing the same sort of values that they actually voted at the ballot box. It gives me a great bellwether for what we can hopefully anticipate over the course of the coming years. So I think America is at the dawn of what could potentially be a very special and unique golden age. And I don't think it's any coincidence that America will be celebrating its 250th birthday over the course of the next four years. And we look forward to hosting a little bit of a party of our own. So we're excited about the wins in the political environment. More importantly, we're even excited about the wins for our small businesses and our ecosystem. They feel a great deal of hope as they look forward and hopefully the economic pressure on their shoulder eases with the incoming administration.
William Kent: Thank you, Michael. We'll hand it back to you for any closing comments.
Michael Seifert: Thank you, Will. Thank you, Brad. And thank you to all shareholders and interested parties that were tuning in for the call today. It is an honor to speak with you all. We are focused on embracing the values that have made our country strong and ultimately growing the American economy through the power of patriotic commerce that embraces meritocracy, excellence, innovation, a love for country and a love for community. We believe we are serving an unaddressed market that is enormous and thankfully, due to the caliber of our team and the investment and support from shareholders and interested community members, we feel a great deal of confidence as we look forward into 2025. We look forward to most pressing Q4 results. We cannot wait to report those to you all in 2025 and we hope you have a fantastic remainder of the year. Thank you all for joining.